Operator: Good morning. My name is Denise, and I will be your conference operator today. At this time, I would now like to welcome everyone to the Energizer Holdings Third Quarter Fiscal 2014 Results Conference Call. (Operator Instructions) I would now like to turn the conference over to Jackie Burwitz, Vice President, Investor Relations. You may now begin your conference.
Jacqueline E. Burwitz: Thank you Denise, good morning, everyone and thanks for joining us on Energizer's third quarter fiscal 2014 earnings conference call. With me this morning are Ward Klein, Chief Executive Officer; and Dan Sescleifer, Chief Financial Officer. This call is being recorded and will be available for replay via our website, energizerholdings.com. During our prepared comments and the question-and-answer session that follows, we may make statements about our expectations for future plans and performance including: Future sales, earnings, capital expenditures; advertising and promotional spending; product launches; the amount and timing of savings and costs related to restructurings; the amount and timing and changes to our working capital metrics, currency fluctuations, tax rates, raw materials and commodity costs; category value; acquisitions or integration plans; future plans for returns of capital to shareholders, whether the separation of the Household Products and Personal Care business is completed as expected, or at all, the timing and terms of any said separation; whether the conditions to the separation can be satisfied; whether the expected operational marketing and strategic benefits of the separation can be achieved; and whether the costs and expenses of the separation can be controlled within expectations. Any such statements are forward-looking statements, which reflect our current views with respect to future events. These statements are based on assumptions and are subject to risks, including those described under the caption Risk Factors in our annual report on Form 10-K filed November 21, 2013 and our quarterly report on Form 10-Q filed May 1, 2014. These risks may cause our actual results to be materially different from those expressed or implied by our forward-looking statements. We do not undertake to update these forward-looking statements even though our situation may change, and these forward-looking statements represent our views as of today only. During this call, we will refer to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is shown in the press release issued earlier today, which is available in the Investor Relations section of our website, energizerholdings.com. Management believes these non-GAAP measures provide investors valuable information on the underlying trends of the business. With that I would like to turn the call over to Ward.
Ward M. Klein: Thanks Jackie and good morning everyone. On today’s call I’ll review the quarter and provide an update on the status of our proposed separation of the Personal Care and Household Products businesses that we announced earlier this year. Moving forward on a number of strategic fronts related to the separation and we continue to believe this will position both businesses for growth, enhance the opportunity for increased shareholder value. For the quarter when considering the headwinds faced by the businesses, earnings came in as we expected and we still anticipate full year adjusted earnings per share to be within $7 to $7.25 outlook range. Our highlights in the quarter are achieving top line growth in the Personal Care business due to the increased sun care sales, higher sales of women’s razors and blade systems and continued growth of hydro line of razors and blades. Improving margins in both businesses due to the restructuring savings and select price increases. Significantly increasing A&P investment in our brands those expected to fuel future growth and generating greater earnings accretion than expected on the Feminine Care acquisition where you have now increased our outlook for fiscal ’14 accretion to a range of $0.35 to $0.40. Also share of batteries decline due to customer losses in the fourth quarter of fiscal 2013, our share outside of these accounts increase. In addition, I’d also like to point out last four quarter that the Household project division comparisons will be negatively impacted by the distribution losses that occurred early in last year’s fourth quarter. Now looking at businesses in more depth, within Personal Care the combined U.S. categories in which we compete were down over 1%, as all categories except shave perhaps show declines. While still down some of the categories show improving trends sequentially over the prior quarter. Our share within these categories was also slightly down around 1 point. Within Wet Shave our share declined a point as continued gains in Hydro were marginally offset by declines in legacy brands. Hydro share of men’s systems achieved its highest quarterly share ever of 9.8%, up 1 point versus the same quarter in the previous year. Hydro also grew market share in June despite major competitive advantage, with Hydro value up 4% in the month. Hydro brand metrics continued to strengthen and awareness, consideration, frail and usage all growing. In particular, our new launched Hydro Sensitive and Hydro Groomer drove incremental sales in consumption. Our women’s system share was down 1.5 points due increased competitive activity. In disposables category declined slightly and our share was down as we anniversary promotional activity in the prior year and increased competitive activity in the current quarter. In shave perhaps the category was up, nearly 2% primarily due to pricing showing the first category growth since September of 2013. While our share was down 2 points we’ve had some recent distribution gains that will improve our market share going forward. Now turning to Sun Care, the June quarter represents 50% of annual category sales. For the quarter the category was basically flat driven (inaudible) gym. Our share was stable across Banana Boat and Wine Traffic as both brands kept pace with category. I would like to point out that we had two products over the top 5 new products in the category. Our Banana Boat Kids Free Spray and Hawaiian Tropic Silk Hydration. The sun care category was also flat for the quarter with our share down. Our share in Tampon are showing signs of stabilizing but in a recent launch Sport Fresh Balance. (Inaudible) continue to show share declines versus prior year required to business. These brands were under invested prior to our acquisition 8 months ago. To the short – we recently increased our spending behind these brands in the third quarter as higher level of support will continue to the fourth quarter as we’re focused on driving long term equities. Within household products, organic sales were down 10% due to distribution losses that occurred during the fourth quarter of fiscal 2013. As I mentioned current quarter last four quarter, the household products division comparisons will be negatively impacted by the distribution losses that occurred last year. Energizer’s global share was down 2 points. That said, the share increased outside the lost accounts. During the third quarter the battery category to decline mid single digits in both volume and value and we expect top line challenges to remain due to expected low single declines in the household batteries segment. In batteries we’re committed to leading to innovation and to supporting equities. In that brand we increased our investment spending in this division behind Power Seal Technology. We also continued to make progress on our initiatives optimized at global cost structure. Now, I’d like to turn over to Dan for the financial highlights.
Daniel J. Sescleifer: Thanks Ward. Adjusted earnings per share were a $1.46 a decline of 7% over the prior year. As Ward said, despite significant headwinds earnings were in line with our expectations. The most notable change for our P&L versus the prior year quarter was a $40 million increase in A&P spending behind our brands. A&P as a percent of sales was 14.3% at 340 basis point increase versus the prior year quarter. As we stated last quarter we remain committed to investing behind our brands. Spanning with the increase across both businesses in support of advertising and promotional programs and product launched activity. Within personal care we launched several new products, Hydro Groomer, Hydro Sensitive Formulation and Playtex Sport Fresh Balance. In Sun Care, we continued to invest behind the Banana Boat Protect & Hydrate platform and Hawaiian Tropic Silk Hydration. In Household products, we’re investing in our Energizer MAX with Power Seal Technology which is currently being rolled out in the U.S. We continued to make excellent progress with our restructuring initiatives as we recognized nearly $32 million year-over-year savings. (Inaudible) savings total to over $220 million. As a result of these savings and improved pricing in Personal Care margins were strong. Gross margin excluding the impact of currencies and acquisitions increased 230 basis points versus the prior. SG&A, excluding restructuring and acquisition-related cost, continued to improve versus prior year levels due to restructuring savings and tight spending controls. And rounding up the P&L, our effective tax rate excluding the unusual items outlined in our press release was 29.2% in line with our full year estimate of 29% to 30%. Moving to our balance sheet, we continue to make excellent on working capital initiatives. In the quarter working capital as a percent of sales was 15.4% an improvement of 270 basis points versus our fiscal 2013 year end results and a 750 basis point reduction from the 2011 baseline period established at the beginning of the initiative. In terms of cash conversion cycle this equates to a 35 day reduction. Total cash flow generated by our working capital initiative now exceeds $300 million. Finally, in terms of capital allocation, dividend payments in the quarter were $31 million as compared to $25 million last year as a result of our dividend increase to $0.40 per share in September of 2013. No shares were repurchased during the quarter. Now, turning to our outlook for fiscal 2014: Our assumptions for the full year have changed slightly since our second quarter update, we’re now projecting organic net sales to be down low to single mid digit with a low single digit decline in Personal Care and a mid to high digit decline in Household Products. Incremental restructuring savings are now estimated to be in the region of $135 million to $150 million, an increase over the estimate provided at the end of the second quarter as we continue to make excellent progress with our initiatives. A&P as a percent of sales is expected to be in the range of 10.5% to 11% for the full year. We’re increasing our EPS accretion estimate from the feminine care acquisition to $0.35 to $0.40, this excludes the impacts of acquisition and integration costs and the inventory step up. We’re assuming an unfavorable foreign currency impact of $45 million to $50 million pre-tax based on recent rates in line with our outlook last quarter. Our outlook x unusual tax rate remains at 29% to 30% range. As Ward mentioned earlier, we still anticipate full year adjusted earnings per share to be within our $7 to $7.25 outlook range. Now, I’d like to turn the call back over to Ward.
Ward M. Klein: Thanks, Dan. Now as promised I’ll provide an update on the separation of our Personal Care and Household Products businesses. The separation is most complex and work intensive transaction we had undertaken as a public company. But, we believe the effort requires will justify by the value creation opportunity. There are number of work streams underway, we are currently focused on the early stages of the separation which include the following: determining the commercial go to market strategy for each places in the countries we compete in throughout the world. Concurrently, defining how to separate the businesses in each of markets so that each business can successful operate as a standalone company. Finalizing the executive leadership of those companies, determining transactional service arrangements between the businesses that has post spin; developing foreign regulatory filings and evaluating capital structures and related debt issuance for each business. Currently, we’re in the planning stages of the separation process, once detailed plans are finalized we will be getting to implementation and taking necessary steps to successful separate the businesses. As I noted previously, we will continue to provide update on significant decisions that are minimum for the quarter. Here are some updates and decisions made since the announcement in April. The Household Products division will be the entity that is spun off. The leadership team below the CEO level will be announced in the coming 8 weeks. The targeted date for the spinoff transaction is no later than July 1, 2015. This timeframe reflects the immense complexity of separating two comparably sized and significant integrated businesses that are combined around the globe. We anticipate filing the Form-10 in early calendar 2015, following the filing of the Form-10, we will begin the investor outreach process, where we will communicate unique go forward plans for each company. We’ve made a lot of progress in the past 90 days. We’re already developing standalone plans and organizational structures for each business to ensure that each positive around running the positive momentum at the effective date of the business separation. To ensure that businesses have positive momentum at the time of separation we’ll continue to focus our key objectives. Restoring growth in Personal Care by focusing on innovation; expanding distribution in Household Products by leveraging our strong brand equity and full portfolio; integrating the Feminine Care acquisition; and finishing strong on our restructuring and working capital initiatives. This completes our prepared remarks for the third quarter earnings, Dan and I will be happy to take your questions. I’ll turn it over to the operator.
Operator: (Operator Instructions) Our first question comes from Dara Mohsenian with Morgan Stanley, please proceed.
Dara Mohsenian – Morgan Stanley: Hi, good morning. You increased your cost savings guidance for this year, this quarter, but didn’t raise the longer term forecast. So, I’m just wondering is that purely timing related or could the higher forecast for this portend a increase in the long term savings number eventually and give you more confidence there? And then, out of the savings you’ve left on the program, how much should we expect in fiscal ’15 versus fiscal ’16 in terms of what’s incremental?
Daniel J. Sescleifer: Hi Dara, this is Dan. I think at this point I would assume its timing, we’re making very good progress on our procurement initiatives and as you know from the project as we outlined it, we’ve gone to center-led procurement model, we’ve a team of employees and they’re making great strive. We’re not prepared at this point in time to increase the estimate, but there is a lot of opportunities we think to explore different areas of cost savings, but we’re just not ready to commit anything in additional. In terms of 2015 to 2016, I don’t have the split on that but I think you can expect, there’s probably that $50 million of that that’s going to really wait until ’16, the first 225 to 250 we would expect to have by the end of next fiscal year.
Dara Mohsenian – Morgan Stanley: Okay. And then, A&P line has clearly been pretty volatile here over the last few years, obviously it was way up year-over-year in Q3, I’m wondering if that 10.5% to 11% guidance for the full year as a percent of sales, is that the right run rate in your minds longer term or given the competitive environment so heated might that need to move up as a percent of sales in fiscal ’15 or beyond?
Daniel J. Sescleifer: I would like to keep it in that range going forward. We haven’t obviously talked about fiscal ’15 yet and with separation a lot of things will change as we move forward. But, the 10.5% to 11% level of A&P investment we did this past quarter and plans for the current quarter, well we end the year, to me it is a good run rate, if we can achieve that going forward. Obviously, our A&P is volatile, a lot of it is tied to seasonality of our businesses, number which are seasonal as you know and part of it also to tie the information along integration. So, I think as you go forward it would be nice to have that run rate as we go forward, unfortunately we probably still have volatility quarter-to-quarter based on those reasons.
Dara Mohsenian – Morgan Stanley: Okay, thanks.
Ward M. Klein: Thank you.
Operator: Our next question comes from Bill Schmitz with Deutsche Bank, please proceed.
Bill Schmitz – Deutsche Bank Research: Good morning. A couple of questions, the first is, can you just remind me exactly when the Sam’s distribution loss happened so like how much of that is a headwind in the quarter because you sound like you’re guiding to sort of flat battery sales in the quarter. So, I guess just like one of that stuff stopping shipped and then maybe the incremental distribution in the quarter you want to talk about?
Daniel J. Sescleifer: Bill, this is Dan. It really occurred almost exactly a year ago, and we believe that in Q4 we’ve got about $5 million of overlap that’s about it.
Bill Schmitz – Deutsche Bank Research: And is there any incremental distribution on top of the stuff you lost, I mean, obviously you haven’t got the backup or anything else that you want to talk about on the distribution side?
Daniel J. Sescleifer: Really not on a customer specific bases, the big losses of last year well known out by everybody. We’ve had some positive steps in a number of key customers as we lead into upcoming holiday season, but I really would hesitate to give any granularity on that right now.
Bill Schmitz – Deutsche Bank Research: And then, on the separation, have you just thought about covenants and all yet, so are you going a stagger board is that going to be a poison pills or anything you can sort of just update on that front for the two businesses?
Ward M. Klein: We really haven’t gotten into in any great detail frankly at this point, so we’re pretty much sure to say, it would be premature as you know, as we’ve announced, I’ll going to the first (inaudible) the household company, I think those are the kind of questions that the two respective independent boards will view once the entities are formed. So, to big to term it I think is the answer.
Bill Schmitz – Deutsche Bank Research: The one last one is, your Personal Care flat again across for the quarter, what do you sum in for the category gross in that period?
Ward M. Klein: I think what we’re looking at, again as I cited the categories remain especially in the U.S. many of them remain down, but these degrees to which they decline is abating. Sequentially, the negative category trends we’ve seen in general are less this quarter than last quarter or last year and we sense a degree or normalcy returning to some of these categories after what’s been a hyper competitive environment the last couple of years.
Operator: Our next question comes from Bill Chappell with Suntrust, please proceed.
William B. Chappell – Suntrust Robinson Humphrey: You talked a little bit on the battery side in terms of the competitive launches, I mean, competitive wins or lower losses, I mean, have you seen a more – I mean, you talked about a highly competitive environment, has it been more pricing, more discounting than you have seen in the past or kind of what you expected in, have you seen more aggressive stands from competitors trying to win like we did last year or has that abated as well?
Ward M. Klein: I would say the degree of competition which has been hiked in batteries past year, year-and-a-half remains hiked, I don’t think its any worse. Maybe some of the discounting has abated a little bit. What I like about the battery category is, it seems to be a returned to focus on innovation both on our case and our competitors’ case. This Power Seal Technology that we’re putting out in the United States right now, the leak proof nature of the claims of some of unique batteries and we think are a competitive advantage for us. We see taking hold in resonating, the consumer resonate with our customers and we will continue to push our innovation, I know, some of our competitors have some utilization out there as well, as in all categories which we compete, forward to compete through innovation rather than just strict trade promotion which is kind of well within the last couple of years.
William B. Chappell – Suntrust Robinson Humphrey: And then, on Sun Care it’s so hard to gauge with weather comps and what have you, what the category looks, is this still kind of mid single digit growing category and are you comfortable that you’re gaining share or are there other new products we’re hearing about that might come on could take share over the coming months?
Ward M. Klein: As for the category dynamics, I do still think in my heart, it is a still a long term of mid single digit category growth story. That the fundamental there of aging calculation, awareness of skin cancer, awareness of protection from skin cancer those haven’t changed and I think those fundamentals remain in place. Obviously, we’re at the whims of the weather and so the flatness this year really we do attribute to just kind of a cool May, June, cool start to the season. So, from a category perspective that’s kind of how I still see it. From a competitive launch of innovation, I’m not aware of anything that is fundamentally changing innovation brought into the sun protection. Outside of really what we’ve been focusing on the last season and a half now, in the direction of hydration along with protection we’ve found again that they’re really resonating with our consumers. Products are very efficacious and when people try that and feel that moisturization along with getting long lasting broadband protection, it really is working. So, we’ll continue to push I think on that as it seems to be working for us.
Operator: Our next question comes from Chris Ferrara with Wells Fargo, please proceed.
Chris Ferrara – Wells Fargo Securities, LLC: Hi, thanks guys. I guess following up A&P, I guess can you give a little bit more detail on that big bump and I guess, what you spent behind, is it spending is supporting launches more or were there more launches and I guess, in that context can you tie that in with this ramp up in spending, but your coin for Personal Care flat next quarter which really is deceleration from the nice bump you got this quarter, so any color there would be great?
Ward M. Klein: Sure. Lot of spending tend to get focused on around innovation, so when you look at Hydro Sensitive, Hydro Groomer, on the Sun Care the moisturization on batteries, Power Seal Technology these are all examples of us bringing innovation to our consumers innovation. We’re more than happy to heavy up (inaudible) and sampling in another trough generating activities when we’re doing that. And I think that captures a lot of what you’ve been doing this year and what you’re seeing the back half of this year. And again, we don’t really launch these consumers in some of these categories during the dead winter month. And so, as we’ve talked about, as we’ve gone through this fiscal year, we gave the heads up on A&P as a percent of sales maybe down now, but it’s going to be up quite a bit at the back half. And that’s what you’re seeing. I would add to that too that I am pleased to say is, a lot of these incremental that we’re putting against the consumer is going into media and that is called brand equity building activities and in fact, have ramped down what burgles or what sort of heavy discounting we’re doing in a number of these categories last year, last year been more in defending our franchise. And so, I think it’s a healthier investment of A&P as well as more investment of A&P.
Daniel J. Sescleifer: And Chris, line of the comment is that over a third of the increase was against the changing anchor brands that we just acquired.
Chris Ferrara – Wells Fargo Securities, LLC: Okay. And then, again in the context of why you expect Personal Care to decelerate next quarter?
Ward M. Klein: I think the sort of investments we’re doing are more long term investments, if I was doing a bunch burgles right now you would be seeing probably more aggressive short term numbers, but I think that’s running share versus owning share and we’re really going at more raising brand awareness and help dynamics of our brand equity that doesn’t as you know show up for 8 weeks after you spent the money.
Operator: Our next question comes from Wendy Nicholson with Citi Research, please proceed.
Wendy Nicholson – Citi Research: A couple of things. First question, the other batteries/lighting segment was that business also affected by the distribution loss or is there something else that’s leading that business to be down kind of mid teens as much as it has been? And then, my second question is, when you look out one quarter aloft and I know that it’s seasonally an important quarter, but still you got really big range now of potential outcomes for the fourth quarter, can you talk all about kind of your confidence level, higher end of the range, lower end of the range, what might lead you to come out at one end versus the other at this point? Thanks.
Ward M. Klein: Sure Wendy. The other part is which is kind of specialty batteries and flashlights those were affected by some of the distribution losses that we incurred last year. So, you’re seeing that in those numbers. Overall, those businesses are fairly stable, certainly continue to be profitable and we continue to focus on innovation in those areas. And there is some growth opportunities in those areas. As for the range, sticking to the range of $7 to $7.25, obviously we do feel quite confident that we will hit within that range and I don’t know if it’s appropriate really to speak really beyond that other than our A&P span as a percent of sales we think would be healthy this quarter and we will achieve that range to give you a sense of how we’re feeling about the business.
Operator: Our next question comes from Nik Modi with RBC Capital Markets, please proceed.
Nik Modi – RBC Capital Markets: Yes, thanks. Two quick ones from me, if you could just give us some update on, I know you guys have had some trade spending efficiency, projects underway as part of the restructuring. Have you got any update that would be appreciated? And then, the second question is just on income trade, we’ve seen pretty dramatic raise recently here and just wanted to get your sense of you’re thinking about that in terms of the impact on the cost structure? Thanks.
Ward M. Klein: In income trade spending we’ve had some savings as a result of the restructuring initiative, but as we mentioned I think was on the last call, we’ve a much more robust project underway across those businesses that continues, there is no update on that any savings that would be derived from that are not included in our current estimate. But that project is live and going forward. As far as costs, I think as you know slight debt quite a bit last plus two weeks, we don’t know if that’s a short term phenomena and if it’s going to be long term it won’t really material impact our financials this quarter because by the time that would roll through, inventory will be fiscal 2015. And we just kind of want and wait more that even at the current levels it’s not going to have a real material impact on our numbers.
Operator: Our next question comes from John Faucher with JPMorgan, please proceed.
John Faucher – JPMorgan: Yes, thank you. Two questions, one, just wanted to see if there was any color in terms of what’s driving the improved depression from the Sun Care transaction, if there is anything about the businesses generally that’s coming in a little bit better than you anticipated? And then, the second piece was, as you look at spins a lot of times you get the sense that companies get distracted, but if I look at the gross margin performance and if you look at the strong productivity in the quarter, doesn’t seem like you guys are losing focus on for the key, running the business day-to-day. So, can you just talk about what you’re putting in place to sort of keep everybody focused despite some of the distractions relative to the upcoming spin? Thanks.
Ward M. Klein: Sure. Sir, on your first question regarding the acquisition, again, I think as we’ve taken over the business and kind of applied right discipline to it, frankly applied our cost structure to that business, a lot of that certain service agreements have ended over the course of these eight and nine months and as you pulled along our backlight if we just turn our back going to more efficient, the way the previous company was allocating the cost or incurring the cost. And so, that’s been a pleasant surprise, you don’t really know that until you really get your hands on the business and start managing the business and start getting TSAs. But, I think almost every time we transition something over our platform, we’ve been able to operate a little bit more efficiently. I think that the comment about our platform actually goes to answer part of your second question too in terms of, the organization does have a lot on its play, I’m very proud of this organization’s ability to effectively compete in the market, effectively reduce working capital, large amount that Dan described effectively carcass out of the organization worldwide as our restructuring project has proven. Effectively integrate an acquisition as we’ve proven to do with J&J deal. Why this organization will do that because of the damn good organization. (inaudible) but I think you could see as a result whether it’s in gross margins, whether it’s overhead cost control, whether reinvesting in the brand and this organization is under tremendous amount of workload.
Operator: Our next question comes from Ali Dibadj with Bernstein, please proceed.
Ali Dibadj – Sanford C. Bernstein & Co., LLC: One is on the A&P spend specifically, just to get a better sense of how you think about it because you increased a lot after this quarter and that’s good. But, I’m asking about the returns on it, arguably they haven’t been great, you used to spend kind of this 10% or 11% type A&P as a percentage of sales and would actually grow the top line. And so, I wonder whether you actually have to up the NT again on A&P even further that you have stock or even further than what you’re thinking about for this year, the 10.5% and 11.5% to actually grow. So, is the return on that advertising spend, it may not just be an Energizer phenomena, might be an industry wide phenomena, but is the return on advertising spend actually getting worse so you actually have to up the investment more?
Ward M. Klein: I know it’s a great question. I would characterize it this way, again the 10.5% to 11% -- is in brand building activities more than anything in the past. And I’m very happy about that those don’t show an immediate return but we see immediately results as we track brand metrics, whether they need awareness, whether it’s purchase interest, whether it’s uniqueness depends on the brand, the category and what’s most relevant. And so, we do see a return in those and I would call that just general brand help. I would say it’s tougher to immediately translate that into resolve when you have categories that are in the kind of decline rates that we’ve seeing. Again the battery decline rates we’ve called out for years and have proven correct in that callout. I think, on the personal care category, weakness is in the United States those are somewhat unexpected but we see it abating and so it’s a mix of short term factors and long term factors. But, we do see some pretty good results from the A&P spending that we put in place when we’re looking at our brand metrics in particular. And in the end it shrinks to the brand and it shrinks to the company. So, full speed ahead if it’s going to take more than 11% of sales going forward, we will deal with that as we go into ’15.
Operator: Our next question comes from Olivia Tong with Bank of America Merrill Lynch, please proceed.
Olivia Tong – Bank of America Merrill Lynch: Thank you. Can you talk about the split in A&P spend between batteries versus Personal Care this quarter and then next quarter when you report, are you planning to provide a full outlook for 2015 for total Energizer?
Ward M. Klein: In terms of the split between A&P, we generally don’t get too specific between the businesses, but I think if you look at – from the profitability standpoint there is definitely a lot of investment on the Personal Care side. Both businesses were up for the quarter but a lot on Personal Care. In terms of what we’re going to disclose regarding ’15 in November, we’re still debating that because it’s not full fiscal year according to our target date of July before, so we’re still deciding what makes the most sense to give investors transparency as to what we expect part of spin and we just don’t have an answer at this point.
Operator: Our next question comes from Jason English with Goldman Sachs, please proceed.
Jason English – Goldman Sachs: Hi good morning folks, thank you for – thanks for the question. I want to circle back on a couple of the other questions that have already been asked. So, first to Nick’s question on zinc cost, can you remind us how much zinc you used and then on a related topic, given the competitive intensity in the category these days, is it reasonable to think that you will be able to get some pricing or did the category overall be able to get some pricing into fiscal ’15 as it starts growth of the P&L?
Ward M. Klein: On the zinc question we never disclosed how much we used, but what I’ll tell you is that based on the recent Delta in the price increase it’s less than $5 million in full year impact to us.
Jason English – Goldman Sachs: That’s helpful, thank you. And then, circling back on shares question J&J Sun Care business, I think early on you had a much lower accretion number because your plans to try to reinvigorate these brand of meaning investment, can you talk about the investment you’re making, the re-integration efforts and whether or not this higher accretion is just more of flexion of a deferral of some of that spend or you come toward the spend as it exists today?
Ward M. Klein: Well, I think, as we’ve tried to communicate for the fiscal year, we won’t be spending much on these businesses as you’re taking them over again. We took them over in November so nil for this quarter. And we’re spending now, so the accretion that you see after now isn’t necessarily something that you just straight line ongoing because as mentioned earlier, we put in this business, it’s now starting to ramp up. Obviously we will end up accretive and we gave you the ranges where we will end up for the year, a lot of that front loaded because of Spanish backload and the spin itself is again similar to that, talking to other businesses increase doing media spend, kind of fundamentals of brand equity in terms of improving those brand help measures. And we’re just starting on that journey and we’re very happy with the technology we have in Fem Care both Tampon side and the technologies we’ve picked up for J&J. Very efficacious products and we just need to do better job of getting those brand metrics right and so I think that’s really where the focus is starting on Fem Care and I would think continue to go.
Operator: Our next question comes from Kevin Grundy with Jefferies, please proceed.
Kevin Grundy – Jefferies & Co.: Good morning guys. So, Ward I wanted to come back to Personal Care and broadly now and there have had been some discussion earlier in the call on skin care, but the much bigger portion of the business is what shave and as we look back at the historical performance of the business broadly for the segment and it was the business that used to grow, if we look now back to 12 and probably where your land in 14, it something close to flattish maybe then modestly down. So, given that what shave remains competitive, you have the dynamic with this not of volume growth and hasn’t been for sometime in razors and blades. How should we think about that now longer term, is this still a business where you think you can legitimately sort of 3% to 4% growth that are rearranged now or it’s maybe flattish to up modestly? And then, unrelated to that are you guys, can you share anything with respect to dissynergies and there has been some market discussion about 1% of sales and whether that’s reasonable, so any commentary there on both those topics would be helpful? Thank you.
Ward M. Klein: Yes, sure. On the – the wet shave category kind of get back in 3% to 5% value growth I would hope so. Right now, it’s not there, most recent U.S. numbers of basis – 3.3%, categories down 2.9% on 12 basis. So, we’re seeing, the declines are much sleeper earlier this year at last. So, we’re seeing an abatement of the declines of the category and that I think is a very good sign. Kevin, the categories from a value point you get back to 3% to 5%, I would hope so. I think the focus on innovation, I think the focus on delivering a great shave and I think especially as you look outside the developed markets, still developing world where we have some presence that – it’s reasonable to affect that category to show those dynamics. Again it’s been an extraordinary period for these negative trends, but we think a lot of have been self affected by shall we say the category players and we don’t lead this category, and I think that’s starting to abate. So, in terms of breakage cost as it relates to the separation we’ve identified certain ones that are easier to identify than others. We really haven’t given a range of dissynergies yet, I’m not sure we’re really prepared to do that as Dan alluded to earlier in the comments. We’re in the midst of really the studying part, the announces part of exactly the best way to do this. Again so, both companies get a very strong footing and a very strong start as separate companies moving on next year.
Operator: Our next question comes from Jason Gere with Keybanc, please proceed.
Jason Gere - Keybanc Capital Markets: Okay, thanks, good morning. Two questions, I guess one, talking about this tough consumer environment that we’ve been admired in, can you talk a little bit about Hydro and then in terms of the growth that you’re Hydro versus your other businesses, how much of the growth this quarter really came from the new products innovation versus the core Hydro business, which is a price discount to the leading player out there and are consumers really starting to emphasis more on the value there. So, just wondering, you get this first questions really more about consumer behavior within wet shaving and if could talk a little bit about that?
Ward M. Klein: Sure. On Hydro itself as I talked about, it continue, it’s in all time record share, again the metrics we track, whether its awareness and help for the brand are all time highs and continue will forward. The very efficacious product as you all know, there has always been price that somewhat of a lower price point than its competitive items on a competitive side that’s true from day one and that’s true today that just I think reflects reality of the strength of brand equities despite the officiousness of the product. So, as we grow Hydro I think the team has just done a very good job of growing it across the whole franchise and Sensitive and Groomer are just the most recent examples of innovation that we keep rolling out with the Hydro Technology. And that momentum builds on itself, so you come out with Hydro, you come out with Hydro Disposable as you come out for Hydro with women, you come out with Hydro Groomer, come out with Hydro Sensitive, they all build on each other. And the reasons why we’ve achieved the record shares on that brands that we have. I think there is still upside on Hydro both within the U.S. and in other markets and some of the other markets we haven’t introduced the full range yet that I just went through. And as well as just traction on Hydro itself, so whether consumers are becoming more price sensitive, I think it’s certainly traffic, all consumers see yields worry about these days, the consumers especially U.S. as we all know (inaudible) and so when you come out with a product like a Hydro, it’s not only very efficacious but a great value, I think it is in the sweet spot for where a lot of consumers are right now.
Operator: Our next question comes from Connie Maneaty with BMO Capital Markets, please proceed.
Connie M. Maneaty – BMO Capital Markets-US: Good morning. We’ve heard from some other companies that retailers are being kind of tight on reordering and I’m just wondering if you’re selling across all your customer base matters yourself through?
Ward M. Klein: I’m not aware of any extraordinary cutbacks in ordering by our retailers at this point in time. So, I guess, sure yes to that we’re not necessarily seeing that.
Connie M. Maneaty – BMO Capital Markets-US: Okay.
Operator: At this time we’ve no further questions or time for questions, excuse me. I’d now turn the call back over to management for closing remarks, please proceed.
Ward M. Klein: Well, that really does conclude then our presentation and our Q&A session. Again, thank you to everyone on the call for your interest in Energizer Holdings, have a good day.
Operator: This concludes today’s conference, you may now disconnect. Have a great day.